Christopher Sheldon: Good morning, and welcome to Beiersdorf's 2024 Full Year Results Presentation. It's great to have you with us today. I'm here with our CFO, Astrid Hermann; and our CEO, Vincent Warnery, who will walk you through our full year and fourth quarter results shortly. [Operator Instructions] And with that, I'd like to hand it over to Vincent.
Vincent Warnery: Thank you, Christopher, and good morning to all of you. Thank you for joining our 2024 full year results conference. Astrid and I have now the pleasure to walk you through our financial results and share an update on the significant progress we have made in implementing our Win With Care strategy. Moreover, we'll provide an outlook on our plans for 2025 and beyond. After that, the floor will be open for your questions. Let's start by looking back on 2024. 2024 was yet another challenging year, marked by ongoing geopolitical instability and macroeconomic volatility. Despite these significant headwinds, Beiersdorf proved this strength, resilience and innovative power, delivering yet another outstanding year and confirming our position as a leader in our industry. Let's kick off with the highlights. We fully delivered on our promise and achieved sustained growth of sales and profit. Net sales reached an all-time high of EUR 9.9 billion, and our EBIT margin, excluding special factors, increased by 50 basis points to 13.9%. This development is extraordinary, especially when comparing it to the high base in 2023. For the second consecutive year, our remarkable performance continues to put us ahead of the competition. We also delivered an on Win With Care strategy announced at the Capital Market Day in June 2024. With groundbreaking innovations and the pursuit of wide spaces, we are ideally positioned for continued success for the years to come. We are pressing ahead with our commitment to care beyond skin. We lead in climate care and champion diversity and inclusion within Beiersdorf and society. Our employees are the driver for success. I sincerely thank our teams for their dedication, which has driven Beiersdorf to yet another record year. Their passion, creativity and energy have been truly outstanding, forming the backbone of our success. Together, we have built an impressive track record. Since 2021, we consistently increase net sales and EBIT year-on-year. Over the past years, our net sales grew by 8.9% per year on average. Our EBIT increased even stronger at a double-digit compound annual rate, reaching a record level of close to EUR 1.4 billion in 2024. This is a testament to our strengths and reliability to deliver profitable growth to all our stakeholders. And with that, we were again able to outperform the market. Our organic sales growth was more than 200 basis points ahead of key peers in the market. How did we do this? By delivering transformative innovation across our portfolio, by strengthening our iconic brands and conquering wide spaces with our exceptional team. Let's look at the figures in more detail. In the fiscal year 2024, Beiersdorf generated strong organic sales growth of 6.5% at group level. The main driver was the Consumer segment with an organic sales increase of 7.5% for the first time, surpassing the EUR 8 billion mark in net sales. NIVEA outperformed the market with an outstanding growth rate of 9%, which is particularly impressive in light of the recall I achieved in 2023. Our Derma my business with Eucerin and Aquaphor continued to grow double-digit by 10.6%, extending its very exciting trajectory. The successful launch for breakthrough anti-aging innovation, Epicelline in Q3 2024 contributed to this excellent result. Our Health Care business, which comprises the Hansaplast and Elastoplast plaster brands, reported a strong 6.1% increase in organic sales. La Prairie recovered slightly as a decline in net sales slowed down to minus 6.2%. Despite the continued weakness of the Greater China ecosystem, the luxury brand managed to gain market shares in 2024. Tesa delivered a solid 1.9% organic sales increase, mainly driven by electronics business. This is a strong result given the very challenging business environment, specifically in the automotive sector. Our iconic NIVEA brand continued to be a key growth driver, following a strong 5.9% increase in Q3 2024, NIVEA managed to accelerate to 7.9% in Q4. The excellent full year results of 9% was broad based, with all categories contributing substantially to this performance, from face care, universal creams and lib, to body care and deodorant. With a double-digit growth rate in 2024, deodorant had an exceptionally successful year. This underscores is continually important as one of the leading NIVEA categories. Within the NIVEA portfolio, the LUMINOUS630 range, with our patented Euro anti-sort ingredient, Thiamidol, continues to drive our success in face care across markets. In year 4, after launch LUMINOUS630 generated an outstanding 34% organic growth. In 2024, NIVEA delivered exceptional growth across all key regions. More specifically, in Europe, NIVEA's sales increased by 6.2%, while in the Africa, Asia and Australia region, net sales grew double-digits at 11.5%. The ongoing strong performance of our global icon in North America is underpinned by robust 4.1% sales increase. This contributed to the solid results of our overall North America business and supported the region in regaining its strengths in the second half of the year. In the Latin America region, NIVEA demonstrated sustained growth, reaching nearly double-digit at 9.8%. NIVEA's growth was widespread, not only across region and category, but also with a well-balanced contribution from both price and volume. While pricing continues to play an important role across all regions, including Europe, volume contributed 60% of growth. In the mid-term, we expect a healthy growth ratio of 1/3 price, 2/3 volume. Sales of our Derma business, including our Eucerin and Aquaphor brands, accelerated further in Q4 2024, resulting in a double-digit sales growth of 16.5%. Overall, in 2024, we outperform our peers in Derma market with a 10.6% net sales increase. And there is more to celebrate. Eucerin became the second EUR 1 billion brand in our Consumer portfolio in 2024 after NIVEA. This exciting development was mainly driven by what has defined Beiersdorf over 140 years, innovation that changes the life of our consumers. As a true game changer, the Eucerin Thiamidol range, continues to be a cornerstone of our growth. Our hero anti-spot ingredient in our Eucerin products continues to deliver outstanding growth rates, even 6 years after its launch. In 2024, it recorded a fantastic 29% increase in sales. And 2024 saw another groundbreaking innovation. In September 2024, we successfully launched our active anti-aging ingredient, Epicelline, our first Epigenetic product contributed to the outstanding Q4 performance with the best-in-class global launch. Our Derma growth is broad-based across our key regions. North America remains our biggest market for Derma contributing again with a growth of 9.1%. Europe deliver a strong sales increase with 7.1%, particularly supported by our Epicelline launch and by double-digit growth in Spain, Italy and the UK and high single digit growth in France. In India, our Eucerin brand hit the shelves in Q4 showcasing a very successful launch, which contributed to our 15.5% organic sales growth in the Africa, Asia, Australia region. Our LATAM region grew dynamically by 12.5%. Given on strong Derma innovation pipeline and expansion plans, we are looking confidently into 2025 and beyond. The luxury market remains challenging. La Prairie sales declined by 6.2% in 2024. This was mainly driven by the continued weakness of the Greater China ecosystem and the ongoing slowdown of the travel retail market. However, we are gaining market share with a luxury brand La Prairie, with a 2.8% decrease in Q4, we managed to slow down the decline. Looking at our e-commerce business, we are catching up quickly in the market. In China, a more refined strategic setup for luxury brand has fueled impressive full year growth of 32%. China will remain a key market for La Prairie in the mid and long-term. The expansion of our e-commerce activities and our increased focus on digital consumer engagement contributed to the positive development. As we continue launching products at the upper price range, we have expanded our offerings to more affordable entry level options. With this strategy, we reach a broader consumer base, particularly attracting younger shoppers. Following a difficult year for Chantecaille in 2023, I'm pleased to say that our premium brand was on the hub in 2024. The key driver of this success was our expansion in Asia. With Chantecaille closing the financial year with a 4.5% increase, we are confident to have laid the solid foundation for accelerated growth of the brand in 2025. We launched Chantecaille in China in record time and generated very encouraging results. And the next launch event is on horizon, in April, we will launch Thiamidol under Chantecaille brand across all our markets. We are confident that this launch will lead to dynamic growth of our luxury brand and contribute to our company's success. Our success is defined by our strategy, Win With Care, a clear commitment to our vision to be the best skincare company in the world. With our Win With Care strategy announced in 2024 at the Capital Market Day, we have raised the bar for our growth and build a strong foundation for Beiersdorf's future success. Our outstanding performance in 2024 shows that we are fully on track. Innovation is the heartbeat of Beiersdorf. We are leveraging R&D capabilities at the growth engine to drive groundbreaking innovations. Our formula is simple. Our successful active ingredients are integrated across Beiersdorf brands in both established market and emerging growth regions such as India, China and the USA. Since in launch in 2019, our anti-spot ingredient Thiamidol helps our consumers to reduce pigmentation marks. And in this does so effectively that has become a significant growth driver of our business, contributing on average 52% organic sales growth per year since 2019. In 2024, we generated net sales of EUR 435 million across our NIVEA, Eucerin and La Prairie brands. The momentum continues as we are launching Thiamidol in new markets such as the U.S. and India. In addition to the market entry of our anti-spot ingredient across the Chantecaille brand in Q2 2025, there is much, much to say about our launch plan for Thiamidol in China in 2026. To sum it up, that continues to be a bright future ahead for Thiamidol. Our innovation highlight of 2024 was the record launch of our first Epigenetic serum under our Eucerin brand in September. It has been the single biggest product launch in Beiersdorf's history. Our groundbreaking product is a game changer in anti-aging solutions. It demonstrates how we truly transform skin care by reversing signs of aging and helping people look up to 5 years younger. After 15 years of intensive research, we've paved the way to reactivate the youth genes of our skin. With our patented age clock technology and the active ingredient, Epicelline, we have solidified our position as pioneer in skin care science, and we will continue to write history. The potential of Epicelline is enormous. Therefore, we are bold and moving fast. Our serum is today available in 40 countries as I speak, South Africa is launching our Epigenetic serum. We have taken #1 positions in many markets such as Germany, Spain, France, Mexico and Chile. And we are particularly happy to see that in Germany, one of the first countries we launched, the repurchase rate in month 6 is nearly double the rate of the best-in-class, competitive launches. In short, we have exceeded our 2024 targets, and we are far ahead of plan, but we are not done yet. So what's coming next? As we have been doing successfully with Thiamidol over the past years, we are cascading our breakthrough innovation, Epicelline across our brands and categories. Following a launch under Eucerin in 2024, we'll continue to launch Epicelline across NIVEA starting the second half of 2025. This will be followed by La Prairie and Chantecaille in 2026. Stay tuned. As our core brand in the market Since 1911, we continue to invest in our icon, NIVEA. While we keep expanding the success of our powerful innovations, we're also enhancing our core products that have earned consumer trust for years. In 2025, NIVEA has the strongest innovation pipeline ever, with anticipated launches and relaunches, touching 47% of planned NIVEA sales. Across various categories such as face, sun and body, we relaunched our product lineup with improved formulas and the more sustainable packaging, while also introducing new innovation, like the NIVEA LUMINOUS630 skin glow range. Our Win With Care strategy helps us strengthen our presence in our strategic markets, categories and segments. Going forward, Beiersdorf intends to tap into more wide spaces and gaps in its global product presence. In 2024, we have expanded our activities in our 3 top priority markets, India, China and United States, launching different brands of our portfolio. In the U.S., for example, we are establishing our position in the face care market with the launch of Eucerin Face. And we are expanding our footprint in the U.S. with Eucerin Thiamidol, which we just brought to the market. India is booming. This country is the growth powerhouse for us, with the highest population in the world, the increase of the middle class and a growing affinity for beauty products, the market has great potential for us. It is a highly competitive market with global, but also local brands. However, with production and R&D capabilities in the country, we are more than ready to face the competition and significantly expand our business in this market. Eucerin expansion in India is gaining momentum. Following our fastest launch yet in October 2024, we gain traction across the country, with Eucerin becoming the choice recommended by dermatologists. In the fourth consecutive year, NIVEA has been recognized as India's most trusted skin care brand. This position underscores the strong connection we have built with Indian consumers. With the launch of NIVEA Face with our Thiamidol ingredient in Q1 2025, we are currently tapping into India's large face care market, which makes up almost 60% of the overall market. And there is more to come this year. Over the next months, we plan to launch La Prairie and Chantecaille in India. Thiamidol's approval in China, the first under new regulations marked a major milestone. The registrations paves the way for the LUMINOUS product launch in mainland China in 2026. This will unlock vast potential across all our brands, NIVEA, Eucerin, La Prairie and Chantecaille. Even with the current limited market access via cross border e-commerce, we are already extremely successful in China, the country being the biggest for LUMINOUS in terms of net sales, growing at 43% in 2024. So the future is exciting and our teams are ready. Having visited China and India in recent months, I was able to witness the passion and dedication of the Beiersdorf teams and their desire to strengthen our position in our key markets. They stand for all Beiersdorf offers across the world, who embody our vision every day to become the best skin care company in the world. Economic success alone is not enough for us. It is important to emphasize that in line with our purpose care beyond skin, we are consistently committed to DE&I and sustainability. For us, these priorities remain unwavering. Last year, we committed to achieving net-zero by 2045, and we are working the talk. We are successfully transforming our global best seller products to achieve a lower carbon footprint. For example, we converted our blue NIVEA cream tin to 80% recycled aluminum globally, and reinvented our NIVEA Body Lotion range with improved formulas, lightweight packaging, the use of recycled plastic. We are fully on track with our 30% emission reduction target. By the end of 2024, we have already made significant progress with an absolute reduction of 25.3% GHG emissions across Scope 1, 2 and 3 despite significant volume growth. Furthermore, by the beginning of 2025, all our production sites across Europe are operating climate neutral, a huge milestone for us. At Beiersdorf, our strength lies in our rich diversity and shared values, embracing different perspectives and fostering an inclusive environment makes us stronger, both as a business and as a society. I personally stand for that. True equality can only be achieved when fair and equal conditions are ensured for everyone. And we at Beiersdorf are actively working to close the gap for gender equity. Achieving gender parity in all management positions worldwide was one proud milestone in 2023. And we've kept the momentum. Results of our first audit wave conducted in 2024, covering around 70% of our employees worldwide show a gender pay gap of 0.98% in favor of male, and this is a strong result. Within the fast-moving consumer goods industry in Europe, the pay gap benchmark is 2% in favor of the male population. In Germany, we stand at 0.56%. Now the second DAX company that earned the Universal Fair Pay Leader certification from the Fair Pay Innovation Lab, another milestone in our commitment to true workplace equity. Now we aim higher and want to set a standard for equal pay across our markets worldwide. In 2025, we'll complete our audit for all employees in the Consumer Business segment and aim at becoming a Universal Fair Pay Leader by 2026. And with that, I hand over to Astrid for the 2024 financial figures.
Astrid Hermann: Thank you so much, Vincent. Good morning from me as well. I am pleased to walk you through our full year 2024 results in more detail. Let's start by reviewing our sales development at both the segment and group levels. In the fiscal year 2024, Beiersdorf Consumer division achieved organic sales growth of plus 7.5%. Due to negative foreign exchange effects, nominal sales grew by plus 4.9%. Our tesa division reported organic sales growth of plus 1.9% for the same period, translating into plus 1.2% in nominal terms. As a group, this resulted in overall organic sales growth of plus 6.5% and nominal growth of plus 4.3%. Now let's take a closer look at our performance across the different regions. In Western Europe, we achieved good sales results, particularly in key markets like Germany, the UK, Italy and Spain. It is important to highlight that our Luxury Travel Retail business is also included in this region, which has been impacted by ongoing challenges, resulting in an approximately 150 basis points negative effect on the overall growth in Europe. At the same time, Eastern Europe demonstrated remarkable sales growth of plus 11.5% with double-digit growth in most of our key markets. The Americas region concluded the year with a strong plus 7.0% sales growth. North America experienced a modest start to 2024 and accelerated strongly in the second half of the year. This was primarily driven by the exceptional performance of our Derma brands, which generated mid-teens sales growth in the latter half as well as the strong results from NIVEA throughout the year. In Latin America, we are pleased to report that the region has emerged as one of our top performers in terms of relative growth, largely attributable to sustained momentum in Brazil and Mexico. The Africa, Asia and Australia region recorded plus 11.3% sales growth with particularly strong results in Nigeria, the United Arab Emirates, Japan and Thailand, supported by the robust performance of both NIVEA and Derma. The strength of these brands helped to offset the ongoing challenges in the Chinese luxury market. Building on last year's stellar plus 12.5% organic sales growth, our Consumer Business division once again delivered dynamic growth throughout all 4 quarters with particularly strong results in Q1 and Q4. The first quarter was supported by a strong start in Europe, driven by the outstanding performance of our NIVEA and Derma Sun business, along with a strong performance from NIVEA Deo and Face. In the second half of the year, we experienced an acceleration in our North America business, further enhanced by the successful launch of Epicelline in Europe and several emerging market countries. Now let's take a closer look at the performance of our brands within the Consumer Business segment. Vincent has already provided an overview of the full year results, so I will focus on a summary of our brand performance in the fourth quarter. NIVEA continued to demonstrate strong broad-based growth of plus 7.9% in the fourth quarter. All the key regions saw substantial growth and every major category recorded positive results. We achieved a good balance between price and volume, benefiting from an increase in volume while also retaining the ability to implement pricing measures across the regions. Derma sustained its strong momentum with an outstanding acceleration in the fourth quarter, achieving plus 16.5% organic growth that significantly outpaced both the market and our peers. Growth in the fourth quarter was driven by the strong performance in emerging markets and the successful launch of Epicelline. Building on a solid performance from the previous year, Health Care continued to strengthen its leading market position with a fantastic growth of plus 9.9% in Q4, closing the year with a clear acceleration. This performance was primarily driven by the double-digit growth in Australia and Indonesia, complemented by the strong performances in our key markets of Mexico and India. Turning to La Prairie. As expected, the quarter faced continued challenges in the Travel Retail sector. Despite ongoing headwinds in the Chinese market and within Travel Retail, we observed a gradual slowdown in the rate of decline throughout the year. However, we remain cautious regarding the short-term outlook. Now let's take a look at the figures at the group level. With sales of EUR 9.9 billion, we closed another record year, achieving strong organic growth of plus 6.5% and nominal growth of plus 4.3%. At the same time, we achieved a substantial increase in EBIT, excluding special factors, reaching EUR 1.4 billion in 2024, which contributed to the improvements in our EBIT margin and earnings per share. In line with our guidance and our commitment to achieving profitable growth, the EBIT margin improved by 50 basis points to 13.9%, while earnings per share rose from EUR 3.24 to EUR 4.05. Additionally, our profit after tax margin improved driven by enhancements in our effective tax rate. Let's now turn to the performance by segment. In the full year 2024, Beiersdorf Consumer Business achieved strong organic sales growth of plus 7.5% and nominal growth of plus 4.9%. Profitability also improved with EBIT margin increasing by 50 basis points, driven by strong top-line performance, gross margin expansion and disciplined management of our overhead costs while further increasing our A&P and R&D investments. Our tesa business recorded organic sales growth of plus 1.9% during the same period or plus 1.2% in nominal terms. The EBIT margin also increased by 30 basis points, exceeding our guidance set at the beginning of the year. Now let's look at the development of our consumer gross margin in more detail. Thanks to our strong brands and global pricing power, we were able to improve our gross margin by 120 basis points by successfully implementing pricing measures. This allowed us to more than offset the 60 basis points increase from cost of sales, which is due to unfavorable foreign exchange developments. A positive mix effect driven by our skin care focus and the premiumization of our portfolio contributed to the gross margin improvement of 20 basis points despite the ongoing challenges in the luxury segment. Excluding the impact of our luxury business, the mix effect would have driven overall gross margin expansion from 80 to more than 100 basis points. In 2024, we again increased our A&P spend as a percentage to sales to support our strong innovation pipeline and invest behind our brands. We increased A&P spend by more than EUR 200 million or 80 basis points. Additionally, we continued our efforts to significantly increase the ROI of our marketing budget. First, we placed greater emphasis on working media over the past several years. In simple terms, working media refers to the portion of the A&P spend that directly reaches our audience, while nonworking media covers the cost of creating and managing content. By establishing a more centralized approach with fewer, bigger and better global launches and relaunches, we have managed to keep the nonworking media component relatively stable while significantly increasing our investment in working media. Within our working media, we have intensified our focus on digital channels and influencer marketing, enabling us to allocate resources more effectively and maximizing the impact of our spending. Furthermore, our precision marketing initiatives further enhance efficiency by significantly improving the ROI of our media expenditures and reducing activities that do not yield results. Going forward, we will focus on further unlocking these efficiencies to ensure that we spend our advertising money wisely to get the best return. Let me conclude our financial overview by highlighting the key elements of our group income statement for the year. As already mentioned, the reported sales are EUR 9.9 billion in 2024, reflecting a plus 6.5% organic sales growth rate for the group. In terms of our gross profit margin, we have seen a strong improvement of 120 basis points, primarily driven by pricing and positive mix effect. This clearly demonstrates our ability to increase prices while also benefiting from the advantages of our strategic category focus. We have made a deliberate decision to increase our R&D spending, reflecting our strong commitment to fostering breakthrough innovation that will shape our future. At the same time, we have maintained a disciplined approach to our general and administrative costs. The slight increase is fully driven by investments in our tesa segment, while our Consumer segment reduced the general and administrative expenses as a percentage of sales. This altogether has enabled us to improve our EBIT margin by 50 basis points, resulting in a group EBIT of EUR 1.37 billion pre and EUR 1.29 billion post-special factors. Our profit after tax amounts to EUR 928 million. Our working capital relative to sales in 2024 remained at a stable low level compared to the previous year. Lastly, let's look at the tesa business. In 2024, the tesa business faced significant challenges due to the persistently difficult market conditions in the chemical industry, marked by high energy costs and weakening demand across various sectors, including electrical systems, automotive and Consumer Europe. Despite these headwinds, tesa achieved organic sales growth of plus 1.9% with nominal sales reaching EUR 1.69 billion. The industry segment demonstrated resilience, driven by strong results in electronics and print and packaging solutions business units. The Electronics sector benefited from a recovery in the smartphone and tablets market as well as from project wins in China, while print and packaging solutions grew through innovative applications. Conversely, the automotive sector faced a slowdown, largely driven by declines in key markets, including Europe and Asia Pacific. In the Consumer segment, sales declined due to challenging conditions, particularly in modern trade and specialized trade, while e-commerce saw robust double-digit growth across all regions, highlighting a shift in consumer purchasing behavior. Tesa's EBIT margin increased from 16.0% in the prior year to 16.3%, primarily driven by a positive mix effect from high electronic sales. That concludes our review of 2024. I now hand over to Vincent, who will share our outlook for 2025.
Vincent Warnery: Thank you, Astrid. Our strong performance in 2024 show that our Win With Care strategy is bearing fruit. This success reaffirms our great confidence in our vision to become the best skin care company in the world. And we have again delivered this year. We have successfully strengthened our iconic brands through innovation that changed the lives of our consumers. We have expanded our business into white spaces, and we continue to lead in sustainability and D&I in our industry and beyond. The Executive Board and Supervisory Board of Beiersdorf proposed that the dividend for the 2024 financial year is confirmed at EUR 1 per share. This proposal will be submitted to the Annual General Meeting on April 17. Following the successful share buyback program in 2024, Beiersdorf will initiate a further share buyback program valued at up to EUR 500 million. Lastly, let's turn to our guidance for 2025. We continue to observe ongoing market volatility driven by macroeconomic and geopolitical challenges. However, our broad portfolio of strong brands and our breakthrough innovations give us confidence that we will continue to deliver profitable growth outperforming the market. Beiersdorf expects organic sales growth in the Consumer Business segment to be in the range of 4% to 6%. In terms of quarterly phasing, we expect the first quarter 2025 to be below this range due to a very strong double-digit first quarter 2024 and the continued weakness in the luxury market. Additionally, we are refocusing our business in China around the strategic brands and categories, thereby impacting unfavorably our net sales performance in the first half of the year. We expect an acceleration of growth as we progress in the year, which is fully reflected in our full year forecast. The EBIT margin, excluding special factors in the Consumer segment is projected to be 50 basis points above the previous year's level. In the tesa business segment, we expect organic sales growth of 1% to 3%. The current challenges in the automotive segment will play a significant role in determining whether we achieve results closer to the upper or lower end of this range. On the profitability side, we expect an EBIT margin, excluding special factors of around 16%. Based on the forecast from both business segments, our group organic sales growth is expected to be in the range of 4% to 6%, and we project the consolidated EBIT margin, excluding special factors, to be slightly above the previous year's level. In 2024, we updated our strategy, further raising the bar for performance and growth. Our strong financial performance in 2024 reflects our company's strength and makes us confident for our future. On behalf of the Executive Committee, I would like to thank all Beiersdorf employees for their passion and commitment. Together, we'll continue to grow and inspire consumers throughout the world. Now on a personal note, we are on the right track with our vision to be the best skin care company in the world with innovations in the pipeline and market expansions ahead. But there is still some way to go. And I'm therefore, delighted that I've been given the mandate to continue leading Beiersdorf into the future. The Beiersdorf Supervisory Board has extended my contract as CEO until the end of 2030. Beiersdorf is brimming with future potential, and I'm thrill to continue to unlock this potential together with all Beiersdorfers in the coming years to achieve long-term success. Over to you, Christopher, for Q&A.
A - Christopher Sheldon: [Operator Instructions] I see we already have a question from Jeremy Fialko from HSBC.
Jeremy Fialko: So, there are 2 things that I wanted to ask about. I think the first one is to contextualize the guidance a little bit. So look, you've delivered this very strong growth at the end of the year. And now you're flagging obviously this quite weak start to the 2025. And then I guess, we're coming out at 5% would be the midpoint to the year. So are there any other factors to bear in mind when considering this relative kind of slowing of momentum, which we've seen from the Q4 to kind of Q1? And then the second question would be on pricing. If you could talk about what pricing has been implemented so far and what your plans are for the year and what sort of pricing effect there might be within consumer?
Vincent Warnery: Thank you, Jeremy. On your first question, the -- we are indeed expecting a Q1 growth, which will be below the guidance we gave for a few reasons. One is simply because last year, if you remember well, we did a plus 10% in the Q1, strongly also driven by price increase, and this is making, of course, the comparison difficult. We are also very prudent in the luxury business. We know that the Travel Retail business will not turn around in the coming weeks, and we prefer to be safe. And the most important thing also, which is something we want absolutely to do, we want to put the China house in order. And it means 3 things. First thing, we are further reducing the stock level of La Prairie and Travel Retail in line. We are cutting 6 weeks of stock in order to be absolutely sure that by the March, we have a level of stock in each and every part of the Chinese ecosystem with the right level of stock. And I'm also using the fact that we have the for the first time in the history of NIVEA, the light at the end of the tunnel with the launch of Thiamidol in 2026 to clean the portfolio, to clean the portfolio from product categories, which are not strategic. It could be men shaving, it could be a shower, it could be deodorants, to also revisit some of the customers we have in China, some of the TP partners, which are not profitable. And to be sure that, again, at the end of the year and especially in the fourth quarter, when we are able to engage into the Thiamidol journey, we have a business which is in full shape in order to get -- to benefit from this unique opportunity, which is the launch of Thiamidol. On your second question --
Jeremy Fialko: Just maybe one quick follow-up. What do you think the effect of that on group organic, this sort of, let's say, China inventory cleanup might be?
Vincent Warnery: I would say if we didn't do what we want to do proactively in China, we'll absolutely reach in the first quarter, the guidance we gave for the full year. Simple. On the pricing, it's true that we're entering into a moment where pricing is no longer as important as we did. You have to remember that in '23, for example, in Europe, we did a price increase of 12% on NIVEA. You have to remember also that in '24, we went down to something which is 3%. And this is what we will continue to do in 2025, around 3% in Europe, slightly more in emerging markets, where we have also the impact of inflation and also the cost of goods. So in emerging markets, we used to do something around 5%. This is what we will keep in 2025 on the emerging markets.
Christopher Sheldon: Next one up is Guillaume Delmas from UBS.
Guillaume Delmas: Christopher, Astrid and Vincent, so my first question is on the global skin care market because you expect further growth in 2025, but at a slower pace than last year. So my question is, could you quantify this as in provide some growth numbers for 2025 and your expectations for 2025? And also, what do you think are the main drivers responsible for this sequential slowdown? And then my second question is for Vincent because as you just mentioned, your contract was extended to 2030. So I'm wondering, how do you think about the next 5 to 6 years as in with the current financial framework of mid-single-digit organic sales growth, 50 basis points of operating margin expansion per annum still apply during this next 5 years for consumer? And I guess more importantly, by 2030, what would you like Beiersdorf to be? Like how do you see the company by 2030?
Vincent Warnery: Thank you so much, Guillaume, for this very good question. The global skin care market was growing in 2024 around 5.5% growth. This is what we have across the world with obviously a stronger growth in emerging markets and a lower growth in Europe and North America. We expect the skin care market to grow around 5% in 2025 with, again, the same dynamic into the 2 regions. On your second question, which is a very fundamental question, what do I expect Beiersdorf to become in the next 5 years? I think there is something already we can tick. We became the leading skin care innovator. It was clearly my first obsession when I joined 8 years ago, Beiersdorf is to get back to what Beiersdorf used to be historically, the leading skin care innovator. We invented modern skin care with NIVEA. We invented Derma with Eucerin, the first Derma cosmetic brand in the history. And we had, over time, lost that a little bit. We are back to this level of innovation, Thiamidol, Epicelline, and you know that we are coming in 2026 with a fantastic initiative on the acne. The second element, which you are also embracing now is to be -- and this is clearly what will drive the next years. This is to be much more daring in terms of white spaces. You have to remember that we don't sell NIVEA Face in 50% of the world. We don't sell Eucerin in 50% of the world. And this is clearly something where we have a huge opportunity. So we have been pretty dynamic on Eucerin. Since 2018, we've been launching Eucerin in Brazil, in Russia, in China, in Poland, now in India, and we are launching at the end of the year in Japan. On NIVEA, particularly in the NIVEA Face, we had clearly to define properly the right mix, and I'm extremely excited what is happening in India because we are launching LUMINOUS, the famous LUMINOUS with Thiamidol with the same concentration of Thiamidol, but with an affordable price positioning for India, which is obviously opening the door not only to India, but also to other emerging markets where we have today an offer, a face care offer, which is too expensive for the market. So that's clearly what I want to do in the coming years. That's also true for La Prairie and Chantecaille. The fact that also we're launching La Prairie in India that we are launching Chantecaille in China and India is also going in the same direction. And to answer your question about the growth, I mean, we are obviously in the beautiful market, which is offer-driven. And we saw recently in the U.S. that we are able to achieve fantastic growth results despite the fact that the market was not growing that fast. So I'm expecting clearly, depending on the big milestone in terms of innovation, but also white spaces, to always overperform the market, to always be able to go on top of what the market growth is giving to us, but with this mix of innovation and white spaces. On the EBIT margin, frankly, this commitment we took of 50 basis points, we didn't do it for you. We did it for us internally to be sure that we create in this company a better discipline that we understand also that we have also to use every opportunity to not only increase growth, but also to increase profitable growth. If there's a moment where we believe we'll have to invest even more, we'll do it. There's no doubt about that. But clearly, I believe that it's important to stick to this objective and to be sure that we continue to improve the profitability of this company over the coming years.
Christopher Sheldon: The next question, I see we have Iain Simpson from Barclays on the line.
Iain Simpson: Just a couple of questions from my end, please. Firstly, it would be great to talk a little bit about the geographic rollout of Epicelline. So I think you've flagged that that's now in 40 countries. You've given some color as to how it's going to get rolled out through the brands. But just any more detail as to how we should think of the phasing of that over the coming 18 months or so? Secondly, I wondered if you could just comment a bit about the Derma Skin Care category. It seems to have slowed a bit from its peak. It's clearly become a bit more competitive as everyone's kind of noticed its attractiveness, I guess. It'd be great if you could talk about what you see in terms of category growth, competitive intensity in the category and how you expect those to trend through '25?
Vincent Warnery: Thank you, Iain. Epicelline, you remember the excitement we had when we introduced to you Epicelline in the Capital Market Day. This is doing even better than expected. As I told you, there are 3 moments of truth. The first one is obviously the moment you sell in, and we achieved 20% more than the extremely ambitious figures we had, which is making today already Epicelline, Eucerin Epicelline the best ever launch of Beiersdorf. And we've been able also to launch it within 4 months in 40 countries. As a comparative when I launched Thiamidol in 2018, I was able to do that in 3 years. So it was in 4 months, 40 countries. And the second moment of truth is the one with sellout. And here, we were absolutely astonished. We got to the #1 position, either for the full Derma market or in some country, the anti-age market immediately with Epicelline. So I mentioned Germany, France, Mexico, Chile, Thailand, everywhere, we see a fantastic excitement for this product and a very good sellout. And then what we are expecting, which is in a way, the true moment of truth, which is are people repurchasing the product. And that's something we just got now from the first country in which we launched, which is Germany. We have a level of repurchase, which is 2x higher than the best. You take the best launches in Derma in Germany, we repurchase, it is repurchased 2x more than those products. So very exciting with the launch of Epicelline on Eucerin. We are continuing the expansion because we still have a lot of country to introduce. And I was mentioning South Africa today. We are obviously -- the rest of the countries will come in 2025. But what is also very important also, and again, a very better achievement than what we did in Thiamidol. We are able to launch NIVEA Epicelline in exactly 2 months and I've seen already the product, it's existing, and we have a fantastic expect starting with Germany, which clearly is planning to do the biggest ever launch of NIVEA in history, but also everywhere in the world. What is good for us, Iain, is that it is not an ingredient which requires a specific regulatory approval like Thiamidol, which means that we can and we will launch Epicelline everywhere with the 4 brands, NIVEA, Eucerin, La Prairie and Chantecaille. And because also we know that this is a race and we want clearly to stay the first and the only one having introduced an epigenetics product in the in the world, we will accelerate, we'll ensure that we have this all brands, in all countries, featuring Epicelline in the months to come. On your second question on the Skin Care category, you know the beauty of the Skin Care category, as I mentioned in my first answer, this is offer-driven. So if you are able to come with a great offer, which is solving some skin problems, you can make a fantastic business. When we launched Thiamidol in 2018, nobody was asking anything about hyperpigmentation. We transformed this no market into a EUR 400 million business. Epicelline also is the same story. We're coming with a claim with a proposal, which is obviously very seducing. And we come next year with an acne proposal, which is the alternative to pharma treatment with 0 side effects. We are also expecting it not only to boost our sales, but to develop the acne market in drugstore and pharmacy. So are we talking today of a growth, which is around 7% for the global derma skin care market, 5% if you take the full skin care market, it can accelerate provided that we, but also other suppliers are coming with new initiatives and new skin solutions that will seduce consumers.
Christopher Sheldon: Next one in line, we have Molly Wylenzek from Jefferies.
Molly Wylenzek: What assumptions are you making in terms of your guidance for Consumer business regarding tariffs? And second, talk a little bit about the [Technical Difficulty] you're seeing in U.S. derma like the Ulta launch for.
Vincent Warnery: I think if we got your question, there was a question on the guidance and the question on the U.S. derma market.
Christopher Sheldon: U.S. tariffs as well.
Vincent Warnery: Do you want to take the tariff? Okay, You want to take the first question, Astrid?
Astrid Hermann: Sure. So related to U.S. tariffs and obviously, things are rather in flux. We have about 1/3 of our products produced in the U.S. that we also sell in the U.S. So that's good news. And about 2/3 is produced outside of the U.S., a good portion of that in Mexico. It will have a quite substantial impact, of course, on our business, about a 50 basis points we estimate at the moment at that 25% tariffs should that come into play. We will, of course, look to offset some of that impact. Let's see how much of that we can -- through pricing and other matters off that. And of course, we have discussions around what do we do more long-term. But to be honest, we will need to have some certainty around a more mid-term, long-term view before we make any changes there.
Vincent Warnery: On derma U.S. So derma U.S., we have been launching right now, in fact, exactly 1 week ago, Thiamidol in the U.S. offline. It was already since 3 weeks on Amazon, and it's a very good start. I can tell you that we are already selling 2x what our main competitors is -- was selling after the same amount of time with a competitive ingredient. We are getting now the listing of a lot of big important retailer. It's a case of Target, the course of Ulta, more to come in the coming weeks. And what is very important for us, we have a very important dermatologist congress, which is called the AAD, which is starting the 6th of March, where we have 500 dermatologists. We will attend the first ever presentation of Thiamidol, and we have already an extremely good feedback from them. They know already Thiamidol because they are also used to visit the EADV, which is a European dermatologist forum. So we expect a lot from them. And from the 6th of March, we have a full plan of advertising, TikTok, influencers. So really a big, big ambition and very happy that we could so quickly launch Thiamidol in U.S. and make of Eucerin not only a body brand, but not only a sun brand, but today, a face brand and face is 60% of the market, so obviously, extremely important. So more to come in the next call with obviously some more -- even more tangible sales results.
Christopher Sheldon: And the next one in the line is Paulina Wurminghausen from Suddeutschen Zeitung.
Paulina Wurminghausen: And how do you try to make [Technical Difficulty] more sustainable [Technical Difficulty]
Vincent Warnery: Our sustainability is an absolute obsession for the company. And you have to understand that being able to decrease our CO2 emissions by 25% versus 2018 while at the same time, we increased our sales by 43% is an absolute change. What we do is we look at each and every element of the product mix first. And I gave the example of the NIVEA blue tin the product you know very well. We moved to 80% recycled aluminum. And recycled aluminum is, in fact, impacting extremely -- there's no impact on CO2 when you used recycled aluminum because it lasts forever. We also revisiting all the formula, all the perfumes so we are using. We are doing that also while respecting our consumers. So we are doing a huge amount of test to be sure that we have exactly the right mix because a skin care product is something extremely fragile. Now you have the packaging, you have the formula and you have the perfume. And the 3 together makes that consumer recognize their brand or not. We are also initiating also on Eucerin a refill jar. So you will buy your Eucerin product in pharmacy. And after you will be able to buy refill, of course, less expensive, not only in terms of production cost, CO2 emissions, but also for the consumer. We are also reducing the plastic content of our bottle. We're being sure that we put the minimum level of plastic, by the way, which is always recycled. So all of that is something we do. We have an army of people working on this subject when we do a re-launch and 47% of NIVEA being impacted by launches and relaunches is impacted by sustainability. And this is the way we are able to deliver our promise. On top of that, we have also some fundamental rework. The fact that we have since the beginning of the year, all our European factories being climate neutral, is of course something which is extremely important for us, which is a milestone, and we'll continue the road map. So minus 30% by 2025 will make it. We are convinced of that. Now the big question is to be sure we deliver also the minus 50%, which we have to deliver by 2032. And obviously, the minus 90% and net-zero in 2045. But trust us, we will absolutely not change our strategy, and we'll make it happen using all the experts from outside and from inside that we need to make it happen.
Christopher Sheldon: Then we'll move on to Tom Sykes of Deutsche Bank.
Tom Sykes: Are you able just to quantify that a little bit more? I mean, what percentage of customers are repeating purchase? And if you could put that in the context of Thiamidol and LUMINOUS, what percentage of those customers or your sales are generated from repeat purchase, please? And then just on inventory effects, excluding China, you've got a lot of launches this year that you've gone through detailed. Is there a greater sell-in? I mean, is there an inventory impact of higher sell-in due to product launch in H1 this year, because of the level of innovation that perhaps won't repeat a little bit in H2.
Vincent Warnery: Thank you Tom for your question. On the first one, I will give you the absolute figures. On average, if you look at the top launches in Germany, after 5 months, you have an average repurchase rate of 10%. So you mean that 10% of the people who bought it before months 1, 2, 3, 4 are repurchasing the product. For Epicelline, Eucerin, Epicelline in Germany, this is 20%. That's something we have never seen. On Thiamidol, I must admit that when we launched it, we didn't have this kind of data. But I think today, we have something which is, I think, around the same figure, even higher, knowing that we've been also competitive by other launches also. So the market has become bigger, but we have the same level of repurchase. So 20%, this is what you have to remember, which is something we have never seen in the Derma market in Germany. On your second question, inventory, when you deal directly with retailers, it's not really an issue. The only category where you have to bet a little bit on the stocks is sun. Because it's true that when you at Easter, for example, this is where you start to feel if the sun season will be high or low, and this is where you have to do loading because the more you sell in, the more you sell out. And this is why immediately, and this is what happened to all of us and not only Beiersdorf. In the Q3, you saw some negative figures on sun because we just reduced the inventory by selling less or in some cases, taking returns. On everything else, there is 0 issues of stocks. The only place where we do stocking is, as I said, retail, travel retail in China with La Prairie, with all luxury brand. And here we are clearly, we measure that very precisely, and we will reduce the -- in fact, the Hainan stock level of La Prairie by the end of the Q1 by 6 weeks. Just to be sure that we are exactly in line with what we should have when to have a healthy business and not to be overstocked with our brand. But this is where we are today.
Christopher Sheldon: So next one in line is Matthias Inverardi from Reuters.
Matthias Inverardi: Two short questions, if I may. First thing as you're still active in Russia, in case of ceasefire in Ukraine, are you planning to expand your business there again like bringing in new products like La Prairie or be active with tesa again? And the second thing would be you have diversity and inclusion programs in the U.S. as well as I understand, do you stop these policies regarding the stance of the U.S. government, Trump wants company to cancel all of these policies. What's your opinion on that? That would be it for the moment.
Vincent Warnery: Thank you, Matthias for your question. On Russia, you remember that in March '22, we were clear. We said we will take out La Prairie and tesa. We will reduce dramatically the portfolio of NIVEA and Eucerin by 65%, keeping only a very base assortment. We said we will not do advertising. So all of that, we made it. We walked the talk. We absolutely stick to this commitment. Why did we do that? For 2 main reasons. One, because we have employees, most of them being with the company for more than 20 years, and we want to take care of our people. And the second thing, and I think Matthias, you know the history of Beiersdorf, we wanted to protect the trademark. The history of this company is that after the war, we spent 50 years buying the trademark of NIVEA country-by-country. So it's absolutely paramount for us to keep the trademark NIVEA and not to see a local NIVEA being launched. So this is what we do today. What will happen tomorrow? We're obviously not making any plan. We will always respect the guidance, the sanctions which are decided by the European commissions. So it is today the case with La Prairie. But I think it's too early to make any kind of assumptions about the future. We are with the brand and we stay, and this is what we did we would do. On your second question, thank you so much for the question because it gave me the opportunity to say that we will absolutely not change our D&I strategy in the U.S. You have to remember that the guidance given by the government is about the government office, the public affairs, not the private sector. And we are more than ever committed at developing D&I in the U.S. and everywhere. It's about gender diversity. It's about being sure that our African-American employees are well trained, well developed. So this is something we have done in the past. This is something we are doing today, and this is something we'll continue to do tomorrow.
Christopher Sheldon: So, the next question is from Victoria Petrova from Bank of America.
Victoria Petrova: I have 2 questions. First is your exposure to palm oil. We're obviously seeing significant cost inflation. Could you comment on that and how you look at it in the context of your 50 basis points margin improvements expected in 2025 in Consumer segment? And my second question is around your North America performance. It was very volatile in 2024. You obviously had some significant outperformance around Derma. You had your own launches there. If you were to kind of triangulate this growth and also the volatility between the quarters, to what extent were you impacted by the market slowdown highlighted by your competitors? And to what extent you could have affected, especially in the second half of the year by this new launches, which will not be consistent through -- in the base through 2025?
Astrid Hermann: Victoria, I'll take your first question related to palm oil. So while we saw cost of sales improve in 2024, excluding foreign exchange effects, we are seeing that it's getting a bit tougher in 2025. There are a few key commodities that unfortunately are moving in the wrong direction. We're obviously monitoring. We have captured some of that in our 2025 planning and obviously continuing to also look on how we can price for that. Vincent already mentioned that we are taking pricing also in 2025. So far, what we see and manage, we can still deliver on our guidance as presented.
Vincent Warnery: On your question about the U.S., we are very happy with what is happening in the U.S. for us. We -- last year, we had a pretty big growth, and we grew 15% in the U.S. And this time, again, we grew at 7% in the Q4. What is happening, in fact, is we don't see so much a decline of the market. Frankly, if you look at the skin care market, I was looking at the figures, the growth around the quarter was between plus 3% and plus 5%. What is happening is that we are over performing the market. We are over performing the market on body because our growth on the body category is around 6%, 7% quarter-by-quarter. But the good news also for us is that we are entering a new market, which is face care. And here also starting from a low base, we are experiencing -- if I look at the last 3 quarters, we went up probably plus 16%, plus 22% plus 34%. And this is due to the launch of Eucerin Face, the fact that we have been launching the first basic line in the second semester of '24, but we are coming now with Thiamidol. And you know the success story of Thiamidol, we are expecting a lot. And as I said, we are already 2x better than the main competitor. So we are pretty optimistic about the U.S. business, benefiting from this core business, Aquaphor, Eucerin, NIVEA, but also having on top the launch of Eucerin Face, which will be the big, big news of 2025.
Christopher Sheldon: So the next one in line is Ulrike Dauer from Dow Jones.
Ulrike Dauer: I have 3 questions, if I may, in terms of 2025 sales and profit development. Do you see a chance of passing the EUR 10 billion by -- in terms of sales for the first time this year? And is also the assumption of net profit of EUR 1 billion be reasonable to assume there's some prediction in the markets like this. Do you expect, La Prairie, the recovery to continue this year and to reach positive sales develop -- territory? And also, why is it developing so differently from Chantecaille? Is it different in terms of distribution channels, market target groups? And the third one will be on U.S. trade tariffs. How do you evaluate certain possible impact on you in terms of sales, earnings? What are the measures you can through or what could be affected like supply chain, production costs, weak auto sales, auto brands you already mentioned? That's it for now.
Vincent Warnery: Thank you, Ulrike. Astrid will take the first and the third question. I will take the second one.
Astrid Hermann: Yes. So on your first question, given that we are at EUR 9.9 billion from a group perspective in 2024, and certainly are giving guidance that I think is quite competitive, we shall pass the milestone you have mentioned, so that's clearly our ambition to do so. And maybe I'll just take the number 3 question right here now. So yes, the U.S. trade tariffs could have a quite substantial impact on our business, about 1/3 of our business in the U.S. is produced in the country. So that is good news. About 2/3 is outside of U.S. and a big portion of that in Mexico. Clearly, if there was a 25% tariff as is being rumored or discussed by the U.S. President, that could have up to 50 basis points impact on our business. Now that is before any other actions we might take. We have been building some inventory in the U.S. in our warehouse to obviously, at least temporarily deal with that sort of impact. And of course, we will have to look at pricing. It is really hard now to predict what the impact will be on the U.S. consumer and they're obviously, pocketbook and so on. That's really hard to predict. But certainly, what we have is very strong plans in the U.S. as we've just already discussed, very strong launches. We have great brands that have been doing really, really well in the U.S. in the last year. So we think the future is bright. And hopefully, in the end, all these geopolitical challenges are not contributing to more disruption. Let's see.
Vincent Warnery: On your question about La Prairie, we start to see some positive signs. So it's very early. Let me give you a few figures, which for me are interesting. If you look at the Chinese business, excluding Hainan, we grew in Q4 by 18%, growing by 18% in China, brick-and-mortar and e-commerce, it's something which we didn't see in the past, and it's mostly due to the fantastic development of e-commerce. We grew in e-commerce in Q4 by 50% on e-commerce. So full year 32%. Clearly, not only TikTok, not only JD.com, not only Tmall, but clearly, we see that we have found a good way to express ourselves online, and this is something which is important. The second element, which is also giving us some hope is that what is happening in the U.S. We were able to grow in the U.S., not only in net sales, we grew 4%, but also in market share. And here also very interesting to see the fantastic success of laprairie.com. We grew in the U.S. by 23%. And we are entering by the end of the quarter, Amazon because you might know that Amazon has taken share of Saks Fifth Avenue. So we're entering through Saks Fifth Avenue on Amazon, which means that we can really complement positively the department store business, the historical department store business of La Prairie with a pretty aggressive, pretty dynamic e-com business. And we see also other signs, delivering in 2024, plus 29% in Japan is also something very positive. The fact that we were positive in Europe also with even in my own country, a pretty good plus 11% is something which is giving us hope. So first quarter weekly in Hainan, as I said, 6 weeks of stock in Hainan to get rid of. But you will see from Q2 and even more Q3 and Q4, we believe a pretty good result, especially because we're coming also with new products, also more accessible. I mentioned also the fact that we are enlarging our offer with accessible for La Prairie being EUR 500, accessible product, allowing us to target younger customers. Chantecaille is -- there are many things in common. Obviously, historically, Chantecaille has always been very good in e-commerce. So we'll continue to invest not only our own chantecaille.com, but also TikTok, Alibaba, JD in China, but also Amazon in the U.S. But also, we have a price positioning, obviously which is much wider, much easier to launch in any kind of retailer because you can find a beautiful Chantecaille product between $50 and $300. So we are discussing with all the Sephora, Ulta on top of the department store. We are also entering this year the brand in Travel Retail. We have a big number of openings using also the leverage of La Prairie. This is why we all feel pretty, pretty optimistic regarding Chantecaille in 2025.
Christopher Sheldon: Then the next question we have is from Mikheil Omanadze from Exane.
Karel Zoete: Yes, this is Karel Zoete from Kepler Cheuvreux. So -- but I also have questions. And they're both on cash flow and a follow-up question on China. Regarding cash flow, you pay out around 75% of your cash flow this year in buybacks and dividends and the cash flow has been strong. What's holding you back to pay out 100%? The other question is with regards to the inventory. If you look back, you have around EUR 0.5 billion in extra inventory on your balance sheet nowadays compared to a few years ago, around 150 days outstanding. And that's quite a lot for a fast-moving consumer goods business. What's explaining this significant increase in days outstanding over the years? And is there a risk of write-offs, for example? And then a follow-up question on China. Can you discuss what you're seeing in terms of local players getting better also in the more premium ranges or derma ranges because that remains a topic.
Astrid Hermann: Thank you, Karel. I will take your first 2 questions. So regarding cash flow and the payout of that, I hope you're happy that we've made significant progress in the last couple of years on that topic. So we're certainly happy where we've gotten to. Our ambition still is to take a substantial portion of our investments and put them back in the business. As you know, we've invested quite heavily in CapEx to drive our capability to produce and especially, produce all of our launches and so on. So there's a heavy investment there. We certainly also have investing heavily back in the business, and we have some strong ambitions related to M&A. So -- but again, we feel quite good about the progress we have made in terms of how much we do give back to shareholders. In terms of your questions on inventories, obviously, business has grown very significantly over the last years. We have a global manufacturing footprint with, obviously, not in every country, not every place a factory. And that contributes in the end to how our inventory looks, the days of inventory we have. We do not have major write-off issues, we haven't had them in the past. We don't foresee them too in the future. And we continue to work on our manufacturing footprint, both in the Consumer business as well as tesa to continue to improve also the day's inventory. Overall, I feel very good about our working capital. We've gone down significantly from pretty high levels we've had in the past, and we've been able to maintain it quite steadily as a percent of sales over the last few years.
Vincent Warnery: On your question about China, you're absolutely right. There's clearly the development of local brands. So we started with mass market, which was the easiest category to enter then derma and luxury. The name of the game is innovation. If you come with a product offer, which is equivalent and even perhaps more expensive than the local product, you have no chance to win. This is why we are also deciding now that we have Thiamidol around the corner to get rid of businesses like shower, like men shaving, the face cleansing categories where we have no real added value versus local competitor. And this is why we're putting everything behind Thiamidol. If you look at Thiamidol, it's very interesting to look at that. If you remember, on both Eucerin and NIVEA, we are only in cross-border. So cross-border, this is to give you a perspective, 8% of the total retail environment of China, 8% and despite this very small environment, we have been able to make of LUMINOUS the top 6 whitening face care product all markets including and with Eucerin, Thiamidol, the #3 in the derma category. So we know that when we come with an innovation, when we come with something which is different from local brands, we are also lucky enough to have R&D and a production center in China, so we can really fit perfectly the texture, the perfume, the packaging to local consumer needs, it works. And this is what we are willing to do now with Thiamidol starting at the end of the year, beginning of 2026. So other way, you cannot fight against local brands, absolutely clear.
Christopher Sheldon: So it looks like we have Mikheil on the line again now. Mikheil Omanadze from Exane.
Mikheil Omanadze: Sorry just one question for me. I know you don't guide by brands, but if I were to look at your consumer guidance of plus 4% to 6%, at least directionally, how would you think about growth potential for each of your biggest brands this year?
Vincent Warnery: Mikheil, obviously, I'm expecting pretty nice growth with Eucerin also because we are launching not only Thiamidol in India and the U.S., but also, we have the overall development over 12 months of Epicelline. So having a growth which is not far from what we have achieved will be something I would have to do. NIVEA, we will have a smaller effect of the price increase because we're going back to something which is more reasonable in terms of price increase. So that will be anyway, we believe we're going to beat the market because of the rhythm of new launches and relaunches. And La Prairie, it's a question mark. We have planned a pretty reasonable growth for the time being. But La Prairie can also be immediately extremely positive or the contrary not being positive because the size of the brand, the market share we have today is smaller, and we have a 1% market share in luxury. It's very easy to go up or to go down. So this is -- so you will end up having, I would say, a growth, which is not far from what we have been able to achieve in the past, having in mind this less effect on the price increase, particularly on NIVEA.
Christopher Sheldon: Very good. I think that was the last question. So thank you very much for all your questions. That concludes our 2024 full year results conference. Beiersdorf's next Investor Relations event will be the release of our 2025 first quarter figures on April 15. Thank you for your interest in Beiersdorf, and we look forward to seeing you again in April.